Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Lucid Group Second Quarter 2025 Earnings Conference Call. Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to turn the call or your speaker for today, [ Nick Tork], vice President of Communications. Please go ahead.
Unidentified Company Representative: Thank you, and welcome to Lucid Group's Second Quarter 2025 Earnings Call. Joining me today are Marc Winterhoff, our Interim CEO; and Taoufiq Boussaid, our CFO. Before handing the call over to Marc, let me remind you that some of the statements on this call include forward-looking statements under Federal's Securities law. These include, without limitation, statements regarding the future financial performance of the company, production and delivery volumes, vehicles and products, studios and service networks, financial and operating outlook and guidance, macroeconomic policy and industry trends, tariffs and trade policy and other future events. These statements are based on various assumptions, whether or not identified in this communication and on the predications and expectations of our management as of today. Actual events or results are difficult or impossible to predict and may differ due to a number of risks. We refer you to the cautionary language and the risk factors in our annual report on Form 10-K for the year ended December 31, 2024, subsequent quarterly reports on Form 10-Q, current reports on Form 8-K and other SEC filings and the forward- looking statements on Page 2 of our quarterly earnings presentation available online at ir.lucidmotors.com. We undertake no obligation to revise or update publicly any forward-looking statement for any reason, except as required by law. In addition, management will make reference to non-GAAP financial measures during this call. A discussion of why we use non-GAAP financial measures and information regarding reconciliation of our GAAP [indiscernible] is our release issued earlier this afternoon as well as in the earnings presentation. With that, I'd like to turn the call over to Lucid's Interim CEO, Marc Winterhoff. Marc, please go ahead.
Marc Winterhoff: Thank you, Nick, and thank you, everyone, for joining us in our second quarter 2025 earnings call. I'd like to begin by expressing my sincere appreciation to our employees, customers, partners and shareholders. You'll continue to believe in our mission is what drives us forward every day. In the second quarter of 2025, we achieved meaningful progress on both operational and strategic fronts. We delivered 3,309 vehicles, up 38% year-over-year, and our sixth consecutive quarter of record deliveries. We produced 3,863 vehicles, up 83% year-over-year. As expected, ASP increased sequentially this quarter due to improved mix. However, gross margin was negatively impacted by [indiscernible] detail in his remarks. First, we've been sharing with you that we are in active discussions about partnerships beyond selling or licensing our industry-leading EV technology. On July 17, we took a big step in this direction with the announcement of a partnership with Uber and Nuro on a next-generation premium robotaxi created specifically for the use on Uber's ride-hailing platform. This partnership combines the industry-leading software-defined vehicle architecture of the Lucid Gravity, the scalability and proven capability of the Nuro driver Level 4 autonomy system and Uber's vast global network and dynamic fleet management, delivering a fully integrated robotaxi experience developed for comfort, safety and scale. Our industry-leading efficiency and technology like our AV capable sensor suite, redundant steering and braking systems and highly efficient, compact and high-power density motors help maximize uptime and reduce operating cost per mile. Key success factors in a successful robotaxi program. The new security software-defined architecture makes it the ideal platform for third-party autonomy stacks. As part of the agreement, Uber will invest $300 million in Lucid, subject to regulatory review. Uber plans to deploy a minimum of 20,000 Lucid Gravity vehicles equipped with the Nuro driver over 6 years in dozens of markets around the world with the first vehicles launching late next year. This is an important step for Lucid into the multitrillion dollar robotaxi market, but it's only the first step. And while we are working with external partners on this initiative, we continue developing our internal ADAS and AD capabilities, such as our recently announced hands-free driving software update with more improvements to be announced. We are also leveraging our partnership with the [indiscernible] or University of Science and Technology, or cost to train our AI models for ADAS and AD and bring cutting-edge innovation from the lab to the road. I've been clear about our intention to monetize Lucid Technology through licensing deals or strategic partnerships. And this announcement signals our right to win in new markets. Uber's investment in Lucid is yet another example of a third party validating our highly advanced technical platform, and we remain in active discussions with other potential partners. Second, we followed through on our commitment to drive awareness for our products and the Lucid brand last week when we announced Timothée Chalamet as Lucid's first-ever global brand ambassador. Chalamet will be featured in a new campaign promoting Lucid Gravity that marks another significant in our commitment to raise brand awareness. This first campaign of the partnership were launched in early September. In addition to stimulating near-term demand, this multiyear partnership with Timothée is designed to anchor the Lucid brand in popular culture ahead of our entry into the mass market with our midsized vehicles. Now let me [indiscernible] a moment to go in depth to explain how these initiatives fit into our mission to not just deliver the best car in the world but also the best business. Since we started our respective roles, Taoufiq and I have dedicated time to aligning our priorities for the business. We are laser focused on 3 important near-term priorities for Lucid. These are: first, operational discipline; second, building a distinctive, scalable brand and maintaining and enhancing a sustainable edge through our technology. Operational discipline relates to manufacturing, cost control and practically every element of the business. As we communicated in our press release, our target is to produce 18,000 to 20,000 total vehicles in 2025. The second quarter, we have produced just over 6,000. On this topic, I feel it is important to acknowledge that we are where we want to be with Lucid Gravity production relative to our target at this point in the year. However, our team has been working very hard all year to address bottlenecks in our supply chain and improve manufacturing efficiency. I'm happy to say that we have overcome most of these issues and are beginning to ramp up Lucid Gravity production. We believe we will significantly increase production in the second half of the year. The challenges we faced were multifold but can primarily be attributed to, first, the capacity of certain suppliers in our supply chain; and second, the availability of [ magnet ] originating in China, an industry-wide challenge. To the first point, we've been working closely with our suppliers to alleviate issues that could prevent us from producing the necessary volume to achieve our target here. We've also implemented key initiatives that are focused on fostering enhanced accountability and data-driven decision-making. We are already seeing the benefits of this as we work diligently to improve lucid gravity production. Turning to the second point. To mitigate geopolitical supply chain challenges, our team was able to quickly integrate substitute magnets in production. And because of our nimble in-house vertical integration, this process took weeks instead of months. Software changes, manufacturing changes and software hardware integration all work together to make this happen. Without our vertical integration and ability for our team to make quick changes, we would have stopped production in Q2. I'm happy to say that we believe this issue is behind us and we have secured enough magnets to meet our production target for the remainder of the year. As we have noted before, we have a strong commitment to our U.S.-based manufacturing. We believe this will make us more resilient and help mitigate the impact of tariffs and other geopolitical issues. In that regard, I wanted to highlight a couple of recent announcements that further support our position. First, in June, we announced a preliminary agreement with Graphite One to source natural and synthetic graphite domestically, beginning in 2028. This agreement complements our existing nonbinding supply agreement with Graphite One that was signed in April of 2024. Following this announcement, we helped establish the minerals for national automotive competitiveness collaboration or [ ENaC], a partnership among U.S. critical minerals producers that are focused on supporting U.S.-based manufacturing and sourcing. We view these as necessary corrective steps to help insulate our supply chain from global volatility. We also recently celebrated the opening of Panasonic's U.S. factory in [indiscernible] Kansas. Panasonic is one of our key suppliers and the presence of this U.S. factory will strengthen our domestic supply chain starting in 2026. Our next priority is to amplify demand through brand marketing and partnership initiatives. Our team's hard work in this regard has been on display through recent announcements over the past few weeks that I have already discussed. I'm pleased with the progress we are making to enhance our brand but this work is only the beginning. As I mentioned earlier in my remarks, in September, we plan to launch a new gravity brand campaign, featuring Timothée Chalamet as part of our broader partnership. To further deepen brand affinity and trust, we are expanding our efforts beyond traditional advertising. This includes new brand ambassador partnerships with world-class athletes influential cultural voices and globally recognized creators who share our vision and values. We are also developing strategic collaborations with brands and organizations at the forefront of sports and culture. These partnerships will allow us to tap in new communities and strengthen emotional connection consumers have with our brands. Regarding the scalability of our brand, many new customers are now experiencing lose gravity in our studios. And we're seeing a high order conversion rate for prospective customers once they experience the vehicle. In fact, our daily order rate has nearly doubled since display and test drive vehicles have been widely delivered to studios. Our final priority is to maintain and enhance our competitive edge through our technology. Engineering and technological excellence have long defined Lucid and we remain committed to these tenants as we grow the business. Just a few we deployed a software update to our DreamDrive Pro Advanced Driver Assist System. This update enables hands-free driving and lane changes and is also expected to be released for Lucid Gravity later this year. Recently, we also began production of the 2026 Lucid Air which features a new battery pack for touring models that extends the modeled EPA rated range to 431 miles compared to 406 in the previous model year. Notably, all 2026 Lucid Air models now utilize the same AC compressor as diluted gravity, marking the beginning of further efforts aimed at part commonization across our vehicle lines. The Lucid Air Grand Touring demonstrates its range leadership recently by garnering the Guinness world record of the longest journey by an electrical vehicle on a single charge. Additionally, current driver named the Lucid Sapphire, the quickest car they've ever tested, [indiscernible]. The Air Sapphire set a 0 to 60x of 1.9 seconds and completed the quarter mile in 9.1 seconds. In [indiscernible] ultimate drug race on [indiscernible] Lucid Gravity [indiscernible] edition with dual motors completed the [ quote ] and 10.5 seconds, matching the [indiscernible]. But where the Lucid Gravity Touring stood out as an acceleration beyond 60 miles per hour, showcasing the superior passing power and highway emerging confidence that define Lucid performance. The same Lucid Gravity Dream addition can also reach 150 more power faster than a [ Corvette Z06 ] according to current driver. At the beginning of my remarks, I highlighted our recent partnership with Uber and Nuro, which showcases and validates that the advanced capabilities of Lucid Gravity provide an ideal platform on which to integrate AD technology. Looking ahead, our midsized platform vehicles will play a crucial role in maintaining Lucid's competitive edge in technology. These vehicles have been meticulously designed to achieve leading product features and specifications with low cost, enabling us to position our company for significant market expansion. By adopting this approach, we aim to strike a balance between cost competitiveness and high-volume production, while still preserving the premium attributes that our customers have come to expect from Lucid. Technology leadership is the posing combination. A prime example of this approach is our ADAS drive unit, which serves as a cornerstone of our higher volume and cost efficiency strategy. We are committed to our powertrain efficiency leadership while simultaneously achieving lower costs and maintaining exceptional performance. Lastly, as you may know, the Lucid Gravity was the first non-Tesla vehicles sold to offer a built-in next connector and supports native Tesla Supercharger network access. We have also recently opened this access for Lucid Air owners as well. As of July 31, Lucid Air owners with an approved adapter in North America can [ out ] vehicles at any one of the 2 3,500-plus Tesla Supercharger locations throughout the country with access integrated into their Lucid app. This is in addition to more than 30,000 [ CCS ] charges already available across North America to Lucid drivers. In closing, we are not simply building electrical vehicles. We are pushing the boundaries of what EVs can be. On the record-breaking performance and efficiency of the Lucid Air to the game-changing Lucid Gravity to our upcoming midsized platform. Our technology continues to redefine what's possible. Well, our mission isn't only to make the best EVs in the world. It's to build a great business around that. That means continuing to drive innovation while also scaling intelligently building a robust supply chain and making strategic decisions that position us for long-term success. We are entering a pivotal new phase, one where world-class engineering meets world-class execution. And with the talent, focus and drive across our team, I truly believe we're just getting started. Thank you for your continued belief in Lucid, not just as a car company but as a company shaping the future of mobility and American manufacturing.
Unidentified Company Representative: Thank you, Marc, and thank you to those who are joining us today. I'd like to build on Marc's comment by sharing more details about our operational and financial performance this quarter. I will also provide clarity on the strategic steps we're taking to position Lucid for the long-term success. In the last few months, our focus has been on execution, turning strategic commitments into measurable progress across production cost discipline and financial resilience. We have also taken meaningful steps to strengthen our capital structure and accelerate monetization of our technology. One of our most significant recent developments was our agreement with Nuro, which represents far more than a commercial transaction. It is a strategic alignment with 2 leading players in mobility and autonomy, who choose lucid Gravity as the core platform for the next-generation robotaxi. Uber's planned $300 million investment in Lucid, subject to regulatory approval will directly support the development and integration of this program. It reflects external confidence in our underlying architecture and is a validation of the broader platform opportunity we see beyond direct-to-consumer sales. It also confirms our ability to create scalable enterprise value by deploying our technology in new verticals, fleet, autonomy and AI. In parallel, we announced our intention to implement [indiscernible] reverse to split. This is not a cosmetic action. It is a deliberate and targeted measure to ensure Lucid's equity remains accessible to broader universe of long-only institutional investors. It also lies our share price with the strategic trajectory of the company as we move into the next chapter of scaling our operations and deepening our capital market engagement. The reverse split is expected to take effect in early September, subject to shareholder approval. Turning now to the numbers. We have delivered $259 million in revenue in Q2, marking a 29% increase year-over-year. We produced 3,863 vehicles and deliveries reached 3,309 units, up 38% compared to the same quarter last year. This marks our sixth consecutive quarter of record deliveries. Despite the ongoing challenges facing the EV sector, particularly in supply chain, we maintained positive momentum and continued progressing towards our volume targets. Given the continuously shifting market environment, we have decided to provide our production guidance as a range. Gross margin for the quarter was negative 105%, and reflecting a $54 million impact from tariffs alone. This impact accounted for a 21 percentage point decrease in gross margin, offsetting the benefits from sequential improvements in ASP. While we anticipate this pressure, we're actively taking decisive actions to move margins back towards a positive trajectory. These actions include material cost optimization, improving production efficiency and tighter inventory management. We also saw continued cost discipline across the organization while maintaining targeted investments in products and brands. R&D totaled $274 million for the quarter, reflecting higher spend on the midsized platform and Atlas powertrain. SG&A was $257 million, a sequential increase as stand normalized following the onetime reversal of previously recognized stock-based compensation expense in the first quarter. Importantly, we are continuing to make deliberate trade-offs across the business, investing where it matters and streamlining where appropriate. Adjusted EBITDA was negative $632 million, down 12%, driven mainly by gross margin pressure. We ended the quarter with $3.6 billion in cash and investments and total liquidity of $4.86 billion. Our financial position remains strong, providing us the runway to fund operations and execute our long-term plans. CapEx totaled $183 million, consistent with our guidance and inventory rose to $730 million, reflecting Lucid Gravity production build and preparations for ramp-up. Looking forward, we are navigating an environment that remains volatile and uneven. We flagged earlier this year the potential impact of tariff-related margin headwinds in the range of 8% to 15%. Based on what we know today and the mitigations we have already activated, including the localized sourcing, engineering substitutions and vertical integration, we now believe the actual impact will fall at the lower end of that range. We are also continuing to manage exposure to magnet supply risk through a combination of supplier diversification and in-house reengineering. The lessons learned during the Lucid Gravity ramp are informing our decisions as we prepare for the start of midsized production in late 2026. On the policy front, most of you are aware of the $7,500 [indiscernible] lease credit will be eliminated beginning in Q4 of this year. We have defined countermeasures that will be implemented in Q3 to address this change. This next phase of our strategy will require us to scale with precision. The midsize platform represents a critical opportunity to expand Lucid's addressable market, enhance manufacturing leverage and offer a broader value proposition to customers without compromising on performance and efficiency. We are applying everything we've learned from the Lucid Gravity to ensure this program comes to market with greater agility, lower unit cost and shorter lead times. Lastly, we are updating our annual production guidance to a range of 18,000 to 20,000 vehicles. Going forward, we will provide production guidance as a range to reflect the potential impact of continuously changing market environment and external factors. We are refining our 2025 CapEx guidance to a range of $1.1 billion to $1.2 billion. This adjustment reflects a more focused investment approach, prioritizing critical programs with the highest near-term returns and long-term strategic value and deprioritizing lower return investments. We remain committed to funding future growth and all other operational and strategic targets remain unchanged. Let me close with this. As you've seen, we are committed to building a great company, not just a great product. That means scaling responsibly, investing wisely and staying laser focused on the fundamentals. Quality, cost and capital discipline. We are operating in one of the most dynamic and competitive industries of our time. What will distinguish the winners from the rest is not ambition alone but execution and execution is what we do. Thank you for your continued belief in our mission. And with that, I turn it back to Nick to open the line for questions.
Operator: Thanks, Taoufiq. We'll now start the Q&A portion of the call. Before we take questions from those on the phone, I want to post questions that our retail investors send in through the [indiscernible] technology platform. The first question comes from Sean D. How many current gravity orders are there?
Unidentified Company Representative: We don't disclose the specific number of orders we've received. However, as I referenced in my prepared remarks, customers are now experiencing Lucid Gravity in our studios, and we are seeing a high conversion rate once people see the vehicle for themselves. We are happy with what we're seeing, and we remain supply constrained and not demand constrained. We expect the situation will normalize soon.
Operator: Our second question comes from Paul C. Is the midsize platform still on target for production in late 2026? Our delivery is expected to start in 2026 or 2027, and the acquisition of the [ Nikola ] facilities allow midsize to be brought forward at all.
Unidentified Company Representative: The midsize is still scheduled for start of production in late 2026 and we are planning to unveil the vehicle next year. Given that production starts in late 2026, we expect deliveries to ramp up throughout 2027. Regarding the [ Nicola ] facilities, while the facilities we acquired added capabilities, they will not impact the time line of our midsized vehicles.
Operator: It comes from Adrian B. How will the partnership with Uber aid in company growth? And how big of an impact do you expect it to have?
Unidentified Company Representative: The strategic partnership with Uber and Nuro is our entry into a large and very attractive market. As far as impact, partnering companies like Uber and Nuro is another data point that validates Lucid's highly scalable platform and signals our right to win in new markets as we continue to pursue additional partnerships. This is the start of our path to extend our innovation and technology leadership into this multitrillion dollar market.
Unidentified Analyst: Now we'd like to take questions from the phone lines. Operator?
Operator: [Operator Instructions]. And our first question will come from the line of Andres Sheppard with Cantor Fitzgerald.
Andres Juan Sheppard-Slinger: Congratulations on the quarter. Just a quick question on ASPs, just given the macro environment, should we be expecting any changes to the midsized initial ASPs as they ramp up?
Unidentified Company Representative: Midsize ASPs ramp up. I think that is still some time out. Are you referring to Gravity?
Andres Juan Sheppard-Slinger: So just on the mid-size, I know we have -- we're not there yet, but just curious as the macro worsens if you're expecting any changes to initial ASPs once it's available.
Unidentified Company Representative: No. No. I mean there's no plan and no expectation that the ASP of the midsize will be impacted. As a matter of fact, I mean, we have the current situation I personally and we as a company see this also as a temporary phase where we had a big hype on EVs a couple of years ago. And now there's more a slowdown but we are fully convinced that EVs is the way forward, and this will normalize over the next years.
Andres Juan Sheppard-Slinger: Got it. That's very helpful. And just as a follow-up, maybe for Taoufiq, can you just remind us the plans regarding the 2026 convertible that's coming up? Like remind us how you're planning on addressing, I think, the remaining $900 or so million that's left.
Taoufiq Boussaid: Yes. Andres. So I mean the plan is still -- I think we touched quickly on it last time we spoke. I mean -- the plan is still to go to the market in the next coming quarters. So I mean there is no change to that. So obviously, we're carefully monitoring the market situation in order to take advantage of the best conditions. So -- but it's something that, for the moment, we're planning for towards the end of 2025, early 2026.
Operator: And that will come from the line of Stephen Gengaro with Stifel.
Stephen David Gengaro: Okay. Sorry about that. I hit mute by mistake. What I would like to start with, if you don't mind, is -- can you talk about the approach, the current approach and if it changed to licensing agreements and kind of what you see the potential there for over the next couple of years?
Unidentified Company Representative: Yes. I mean actually, the comment on that one would not change compared to what I said 3 months ago because we have still ongoing discussions on that topic. Most of the other OEMs we are talking to, they have other problems right now. I mean they are still very much focused on [ grappling ] with the tariff effect and those kind of things. And so those discussions are still happening. They're just progressing slower. And we still see the potential in those deals. But as I said the last time -- background noise there. But we also have now discussions and partnerships beyond this topic. And this is the Nuro and Uber deal is one example of that. And that's now what we are expecting to come to fruition more in the future as well.
Stephen David Gengaro: Great. And I apologize for that background noise. The other question, just the update on how the new [ Atlas Powertrain ] is coming and sort of your confidence in the development of that and the efficiency of that product versus kind of -- because you're just so well known for how efficient the motor systems are. So I'm just curious where things stand there.
Unidentified Company Representative: Yes, on track. I mean to say it short because obviously, this is our next-generation powertrain that will achieve or we are targeting to achieve the same efficiency or even better at a much lower cost. So we are fully on track with that. at this point. And yes, looking very much forward to deploy this in the midsized platform as the first vehicle.
Operator: And that will come from the line of James Picarelli with BNP Paribas.
Thomas Jacob Scholl: This is Jake on for James. I was wondering if you could just quantify Gravity deliveries in the second quarter? And based on third- party data, which is admittedly unreliable for Lucid, there were no deliveries in July. So is there a hang up like a quality issue with the gravity delivery ramp -- and when should we expect to see material volumes?
Unidentified Company Representative: Yes. Well, let me address July first. That number is bold. And that's all I want to say about that it's totally bold. When it comes to number for second half, we are not disclosing this, but we're definitely in the process right now of ramping up Gravity in the second half of this year, the gravities will actually be the majority of our deliveries. But yes, going back to the July number, we saw that as well. But yes, it's unfortunate that something like this is published.
Thomas Jacob Scholl: And then CapEx is an area where I think you guys have done a good job controlling your cost, keeping under expectations. But even the revised guide, it looks like you're implying spending will more than double in the second half. So could you just talk through some of the puts and takes there?
Unidentified Company Representative: Well, I mean, as you can imagine, I mean, when it comes to the CapEx spend, it's not a linear exercise. So I mean, between the moment you place your POs, you finalize all the blueprint and so forth. I mean, there's a lag of time. So this is why, I mean, CapEx, which is backloaded. So most of the spend will be related to our [ API ] facility in [ KSA ]. So again, it's not a linear spend. What we have tried to do is to have a critical look at all the CapEx spend proposal and make sure that we only spend where it deserves to be spent with the highest product return and the highest level of return. Hence, the revised guidance that we have provided. But again, yes, I mean, most of the spend will happen in the second half of the year.
Operator: [Operator Instructions] Our next question will come from the line of Tobias Beith with [ Ross child ].
Unidentified Analyst: I have 3 questions, if that's okay. Two for Marc and one for Taoufiq and I'll ask them separately. Marc, in your prepared remarks, you cited [indiscernible] in production, but output in the second quarter is at an all-time high and also above demand. And I also understand that Gravity and the Air use the same amount magnets. So I'm slightly confused. And I was wondering if I can ask the further details on that topic or if you can tell me what I've missed.
Marc Winterhoff: Yes. Well, first of all, that problem is behind us. So we solved that problem in Q2. Second half of the year, we have secured enough magnets, so we have no problem with that anymore. When it comes to your second part, that the Gravity and the Air use the same magnet is not exactly true. Because what happens is that over -- from each model year and from each model, we have minor changes in the chemical setup of the magnets and those kind of things. So that is not really correct. So we had a shortfall for a certain trend and we were able to overcome this with a -- yes, some magic, I would call it, that our engineering teams then were able to do. So we actually didn't with production due to that in Q2. And yes, that helped us over that hump.
Unidentified Analyst: Okay. I think [indiscernible]. Second question for Marc. About 2 years ago, I asked your predecessor to detail the time line and the required milestones from them to starting production of the Gravity to help me judge progress from the outside. I was wondering if you could please do the same for the [ Atlas Powertrain ] and the first model based on the midsized platform.
Marc Winterhoff: Yes. I mean, right now, one key thing that we're doing is basically we are in sourcing right now. And basically, what I'm saying right now applies to the Atlas Powertrain, but also to the midsize. So there's not really a difference because both of them will come at the same time. Then sourcing is important because we are sourcing right now for the so-called TV [ builds ] which is the product validation builds. So all of the engineering work will be very quickly be finalized. And then from there, we go into a validation phase with all kinds of testing, including winter testing later in the year and then home allegation. So those are the things that are following. I guess the background of the question and to start the production of the midsize in the end of 2026. And the answer to that, this is our current plan has not changed.
Unidentified Analyst: Taoufiq, final question from me. How much did step up in the write-downs on inventories and losses [indiscernible] purchase commitments is attributable to tariffs versus building raw inventory to the ramp-up of the Gravity?
Taoufiq Boussaid: Yes. So again, first of all, yes, there is an impact on inventory adjustment on inventory for the next 6 months commitment of purchases. It's as far as we see it, I mean, an event which will hit primarily Q2 because for the subsequent quarters, I mean, we will need to do a reversal which will offset the new provision that we will book provided that we maintain roughly an equivalent volume of procurement. So knowing that we have acquired and we did an increase in our inventory in Q2, we should expect the volumes to remain roughly stable in Q3 and Q4. And therefore, it will not revise any incremental impairment that we might have to book. So we have stated that the tariffs -- the impact from the tariffs in Q2 was amounting to roughly $55 million. So this is actually a net figure which is made of 3 different amounts. The first one is the actual tariff impact, which is in the range of $55 million then there is the impairment that we booked only in Q2. And then there is a netting effect coming from the reimbursement that we're getting, the famous 3.75% that we're getting. So all this leading to a net $55-plus million for the quarter.
Unidentified Analyst: Okay. So just some crystal clear, right, the 21 points of tariff impact, but not all of it was actually realized in the second quarter and you're still expecting some reimbursements to come later in the year. So actually, the impact on the second quarter was more than 21%?
Taoufiq Boussaid: So no, no. I mean we will have reimbursement. So this will continue. It's a flat percentage, which is a function of the localization of the procurement activity and the volumes. So this will continue until the end of the year. The only difference that will not happen or the only elements which will not happen or will not have an impact on our financial for the balance of the year is the booking of the impairment of the inventory because this will be netted off between reversal and provision that we book. So that's why when you look at the statement that we have or the guidance that we have given, we are saying that the tariff impact on a full year basis will be on the lower end of what we have provided. So we said 8% to 15% on a full year basis. We have 21% in Q2, primarily because we had to book the first impairment on inventories that will not happen for the subsequent quarters.
Operator: I'm showing no further questions in the queue at this time. This concludes Lucid's Second Quarter of 2025 Earnings Conference Call. Thank you all for joining us today, and you may now disconnect.